Operator: Good morning. My name is Lisa, and I will be your conference operator today. At this time, I would like to welcome everyone to the California Water Service Group Second Quarter 2020 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Mr. David Healey, Vice President and Corporate Controller. Please go ahead, sir.
David Healey: Thank you, Lisa. Welcome everyone to the 2020 second quarter results call for California Water Service Group. With me today are Martin Kropelnicki, our President and CEO; and Thomas Smegal, our Vice President, Chief Financial Officer. Replay dial-in information for this call can be found in our second quarter results release, which was issued earlier today. The replay will be available until September 30, 2020. As a reminder, before we begin, the company has a slide deck to accompany the earnings call this quarter. This slide deck was furnished with an 8-K this morning and is also available at the company’s website at www.calwatergroup.com. Before looking at the second quarter results, we would like to take a few moments to cover the forward-looking statements. During the course of the call, the company may make certain forward-looking statements. Because these statements deal with future events, they are subject to various risks and uncertainties and actual results could differ materially from the company’s current expectations. Because of this the company strongly advises all current shareholders, as well as interested parties to carefully read and understand the company’s disclosures on risk and uncertainties found in our Form 10-K, Form 10-Q, press releases and other reports filed from time-to-time with the Securities and Exchange Commission. I am going to pass it over to Tom to begin.
Thomas Smegal: Thanks, Dave, and welcome, everyone, to our second quarter earnings call. Just as a preface, I think most of you who are on the call are aware that the major factor for the company in this quarter is the -- really the same as it was in the first quarter and that is that we have not received either a proposed decision or a decision on our California General Rate Case, which was expected prior to January 1, 2020. I am going to begin the results discussion on slide eight of the deck and talk a little bit about the quarter and then on the year-to-date basis and then go on from there. For the second quarter, I will start at slide eight, our net income decreased by $11.7 million to $5.3 million and that is a difference from a $0.35 gain in the second quarter of 2019 to an $0.11 gain in the second quarter of 2020. The big factor here is that we had no rate relief from the California Commission and we estimate that if the rate relief would come in, there is two big factors here and it’s the same two factors we talked about on the first quarter call. There is a total of $29.1 million that we believe would have been achieved versus additional pre-tax income if the Commission has rendered a decision on a favorable basis to the company. And of that, for the second quarter, $10.9 million represents the pure delay of resulting from the settlement agreement that the company filed with the consumer advocate back in October of 2019 and so that is being tracked in an interim rate memorandum account for future recovery. And then $18.2 million, which represents income from our disputed cost recovery regulatory mechanisms. And those remember are mechanisms that we have had for many years, first of all, to decouple our sales from revenue, we will talk quite a bit more about that later in the call, and then secondly, our regulatory mechanism for the pension and healthcare balancing accounts. Because those are in dispute in the case, we didn’t record them as we would normally have and had we recorded them in the quarter, we estimate an additional revenue of -- would have been $18.2 million. Those regulatory mechanisms match up to some cost increases that we had in the quarter. We had $6.5 million of increased water production expenses, of which $5.7 million would have been offset by those regulatory mechanisms and we had $2.1 million of increased pension benefit expenses, which also would have been offset by those regulatory mechanisms had they have been in place. Other factors for the quarter, we saw a rebound in our unrealized benefit plan investment performance that was $3 million higher than in the second quarter of 2019. And other things that happened, which would be typical of a utility company in our situation, our depreciation expense went up very similar to the first quarter, so it was up $2.2 million in the second quarter and that’s related to increased plant investments in 2019 and we did have an increase in our maintenance costs of about $1 million. Turning to slide nine, on a year-to-date basis, very similar story and very similar explanation, the numbers are different, but the explanation is the same. So our net income decreased by $24.4 million to a loss of $15 million on a year-to-date basis. In terms of earnings per share, we have a loss of $0.31 per year-to-date, as compared to a gain of $0.19 in 2019. But again the two factors related to the rate case, we believe that had a rate case been adopted and it was favorable to the company on these matters. The $19.8 million representing the delay of the settlement agreement amounts and $26 million related to our regulatory balancing accounts that we have been discussing. For the year-to-date basis, our unrealized benefit plan investment performance was $4 million lower than in the first half of 2019 and that’s really due to a comparatively strong market conditions in the first quarter of 2019. And other impacts on a year-to-date basis, again very similar, we see depreciation expense increase $4.3 million and maintenance expense increase $1.6 million. On slide 10, this is a very similar slide to what we gave you in the first quarter earnings deck. Our opinion of the estimated benefit from -- on a full year basis from the California GRC has not changed. As shown in the table on that chart, we believe the benefit is between $38.9 million at $42.2 million on an annual basis and so we continue to expect that when we get a decision in the case that that will be the benefit to the company. Our 2020 sales forecast, as we mentioned in last quarter, are about 7% lower than the 2019 adopted sales. So in discussion of the WRAM and the MCBA, we believe that we are much more likely to be closer to adopted sales than we were in 2019. And as I mentioned earlier, we would have been allowed to record additional revenue of $5.6 million to $10.9 million in the second quarter if the settlement had have been adopted, with the low end of the revenue range linked with $5.2 million reduction in depreciation expense. So, getting a little bit more granular on slide 11 on the disputed GRC items, I just wanted to point out that the two things that are the WRAM and the MCBA, we believe that on the -- in the second quarter that’s about $14.9 million that would have been recorded in those balancing accounts, and the pension and medical cost balancing accounts we believe would have been $3.3 million. And again, we are highly confident that past amounts that are recorded in those accounts are recoverable regardless of the Commission’s decision on a go-forward basis in our current General Rate Case. And the other disputed items in the rate case, we don’t believe are major factors in either the second quarter or the year-to-date results. The pages have stopped working, I am going to skip the EPS bridges that we have because those are described in the narrative. And I am going to turn it over to Marty for an update on COVID-19.
Martin Kropelnicki: Good morning, everyone. Thanks Tommy. It certainly has been an interesting second quarter dealing with the COVID-19 pandemic, as I think most people know, utility workers are considered essential workers, and therefore, most of our employees, 90%-plus of our employees have been at work in the field every day. Accordingly, that makes protecting those employees, as well as protecting our customers very, very important. We are complying with all local regulations in our service areas, as well as we were an early mandator of mask and other PPE for all of our employees. As you have probably seen in the press, California and specifically Southern California, LA counties and Kern counties have seen a surge in cases, and we have seen increasing caseloads and hospitalizations in the past few weeks, as well as we have seen a handful of employees also contract the virus outside of work. So in cases like that, we have been able to minimize any disruption of service. Obviously, we isolate any employee that has any type of exposure and in order to keep them from getting other employees sick and we have been successful in doing so. Our Customer Centers in all four states have remained closed and will remain closed until further notice. So we have suspended all collection activities in an effort to keep people supplied with water. In addition, we have offered additional help through a direct grant program. As you may recall, the company allocated $0.5 million for charitable contributions, some of that went to work in local food banks and local food pantries throughout their service areas. Another part of that grant went to what we called a direct aid or direct grant for customers who were struggling to pay their bills. And so that’s proven to be, I think, beneficial, and more importantly, I have received a lot of letters from customers who appreciate the fact that we were helping them out. To-ate, we have had no disruption of service despite COVID-19, in addition to some of the rioting and stuff that we saw in Southern California at the end of May and in early June, and so we have continued on track doing what we do best, which is providing clean drinking water for our customers. Tommy, do you want to go through the business impacts of the pandemic?
Thomas Smegal: Sure. Thanks, Marty. So we have seen increased customer account aging, and remember, this is due in part to the increased unemployment rate and also in part to the regulatory commissions telling us that we can’t have collection activity. The company, I think, as Marty may have noted last quarter, we voluntarily suspended collection activity before. Our state regulatory commissions required us to do that. But nevertheless, there are now regulatory mandate to suspend collection activity, and in California, that mandate, at this point, goes through April of 2021. So it’s going to be a long-term suspension of collection activity. Our bills that are outstanding more than 90 days and those are the bills that would normally have been sent to collection, those bills increased to $3.4 million. And in the past, when we have had those bills sent to collection only a portion of those amounts are typically uncollectible. So we have raised our estimate on the balance sheet, this is the bad debt reserve balance for doubtful accounts from $0.8 million to $1.6 million as of the end of the second quarter. Our water sales have continued strong, particularly on the residential side. That is offsetting a drag on sales in business, industrial and public authority sales. That last bit, I think, was school closures, for example, in the late spring. We do see in resort areas in Hawaii in particular a decline in sales that we are observing there. The California utility, Cal Water, as we mentioned in the first quarter, activated the catastrophic event memorandum account that allows us to track costs associated with COVID. And in the second quarter, we recorded approximately $600,000 of incremental operating expenses to the memorandum account. Those are amounts that we will seek to recover in a later filing from the Commission. Memorandum account, as you will recall, is not something that we typically book the revenue from until there is an authorization to recover that revenue. In addition to the $600,000 of incremental operating expenses, when we do have bad debts and those do go to collection at the end of this period that will be included in our request to the Commission for recovery. Hawaii has a very similar mechanism that we are working to put in place. There has been a filing with the Hawaii Public Utilities Commission as well there. Our liquidity is strong. At the end of June, at the end of the quarter, we had $114 million in cash and additional current capacity on our lines of credit of more than $170 million. Marty, you want to talk to us about all the fun stuff in California?
Martin Kropelnicki: Boy, there is a lot going on in California. Starting off with, some of you may have seen the CPUC, the California Public Utilities Commission extended its deadline for considering and concluding on our 2018 General Rate Case to September 30th. That means, in order to meet that deadline, the Commission must issue a proposed decision no later than August 25th. So we continue to monitor that and hopes that we can get that wrapped up. As Tom pointed out earlier, we are feeling the financial consequences of not having rate relief and it gets pretty confusing each quarter to talk about our results with and without rate relief. So we hope to get that wrapped up in the third quarter. Perhaps, more importantly, from a policy perspective on June, excuse me, July 3rd, the CPUC issued an unexpected proposal in an unrelated case and I want to read to you the full name of this OIR and I will come back and talk about it. The full name is called, Evaluating the Commission’s 2010 Water Action Plan Objective of Achieving Consistency between Class A Water Utilities’ Low Income Rate Assistance Programs, Providing Rate Assistance to All Low Income Customers of Investor Owned Water Utilities, and Affordability. So it was an OIR looking at the consistency and the goals of achieving consistency of low income in rate assistance programs. So this July 3rd proposed decision that kind of came out of last field, if adopted would require Cal Water and other water utilities that are regulated by the CPUC to propose removing it’s decoupling mechanism in the next General Rate Case. This decision is troubling for a number of reasons. First and foremost, it draws conclusions on a very, very limited set of data and evidence. In fact, we don’t even know what was used to construct the data tables used by the Commission to draw these conclusions. There were only two hours of workshops provided in conjunction with this rule-making. And we think it’s just a bad decision and also goes against the state’s goals of making conservation a way of life. And we have aggressively gone after decoupling and conservation early on as prescribed by the Water Action Plan. So we are very much involved and talking to the Commission last week and this week about this proposed decision, and find it going in the wrong direction of the state’s policy in support of conservation and the conservation goals of the state. Just to remind everyone, California has Ag business that’s over $60 billion. It’s the largest Ag state in the union and we are growing in population from almost 40 million to 45 million over the next decade. So the idea of getting rid of decoupling and basically implementing what’s in this OIR essentially increases rates for most of the customers, including low income customers, so we are just flat out against it and we are lobbying against it. It’s also unclear what the effect of this policy decision could have on the current proposed decision that we are waiting for. So legally it should push into the next rate case cycle. But we are looking into that and digging into that right now. So there will be more to come on this PD that was issued here in early August. We have a lot of efforts focused on basically asking for a halt to get more evidence on the record and to have a full examination of all the data that’s available for the last 12 years of decoupling and we believe that the Commission would get to a different conclusion if they had all the evidence on the table. Looking at the capital investments for the quarter, and this frankly was a highlight with everything going on that’s been kind of negative news, it’s nice to see that our capital program was up 9.5% compared to the same period last year. So we had $133.5 million invested in the first half of 2020. The company previously estimated it would spend between $260 million and $290 million in capital during 2020. While the company has experienced some individual project slowdowns, we have seen other things like our main replacement program, being able to accelerate. And so, overall, we have remained on track at least as of right now mid-year 2020. Of course, that could change depending on how things go with the virus and if there is any more pending shutdowns that could affect our overall ability to get capital invested and put into the ground. In addition, we have added an incremental $5 million in capital investment for our Rainier View acquisition that closed during the second quarter, and if you turn the page, I want to talk about business development, which includes Rainier View. The Washington Water Service Company and the Washington UTC, which is the Commission in Washington, approved our acquisition and we closed on that acquisition in June, which now makes Washington Water Service Company the largest investor-owned rate-regulated utility by the UTC in the state of Washington. In addition, we have filed applications in Hawaii with the regulators for approval of our Kalaeloa system in O’ahu and our Kapalua system in Maui for the change in control and we anticipate those closing hopefully by the end of the first quarter 2021. You will see -- you see in the slides that Rainier View added approximately 18,500 customers, the Kalaeloa system will add about 200 customers and for the history of us stack the former Barbers Point air base on O’ahu that’s going to be redeveloped into residential and commercial properties. And in the Kapalua Water & Wastewater System, which is just north of our Ka’anapali system on the island of Maui, which has a couple of large hotels, golf courses and developments. So you add those up, closing out the two in Hawaii, that would add just under 4% to our total customer connection count for the year of 2020 which we think is very healthy, given all we have been dealing with the pandemic and everything else. So our business development team has continue to be busy and continue to do good work. Tom, you want to go through the next couple of slides?
Thomas Smegal: Sure. Thanks, Marty. So on the capital investment history slide, which is slide 19, we did update our 2021 projection to include an additional $5 million of investment in former Rainier View Water. So you will see a little bit of a bump there. And if you flip to slide 20, which is our regulated rate base, we have now included the estimated increased rate base in 2020, as well as capital investments in 2021 for Rainier View and so those numbers have gone up just a little bit, obviously that’s much smaller than our California operations and it doesn’t change the shape of those curves, but we have updated those numbers. As you can see, we continue to be on track, as Marty mentioned, and our expectation is that these are still the numbers, assuming the settlement gets adopted by the Commission. I will add and apologies that it’s not in the deck, but you will notice on slide 20, we have the third row is called advice letters included in the settlement, of about $150 million that’s the California settlement. Yesterday, the company filed with the Commission an advice letter to begin the recovery process on its Palos Verdes Water Reliability Project. This is a 96 point -- I think it’s a $96 million authorized advice letter for that very large project -- the largest project in the company’s history and we did make that advice letter filings. It is subject to a review process and we don’t anticipate that that advice letter will be approved anytime soon, we are targeting early 2021 for the approval of that advice letter. But for -- just for those of you who are looking at the rate base and that the light green area if you will on that chart, the good news is that most of that has already now been filed for. So, Marty, I will turn it over to you for wrap-up.
Martin Kropelnicki: Great. Thanks, Tom. Well, you should get the sense, there’s probably three or four main things we are focused on in the third quarter. First, the PD, the proposed decision on Affordability and Low Income Assistance, staying focused on that, as well as our efforts to conclude on our 2018 General Rate Case. This is one of the longest delayed rate cases I think we probably had in at least the last decades. So we are anxious to get that wrapped up with the Commission and get put to bed. Additionally, the COVID response, it seems to change every day and CDC requirements keep moving around and we have to show up to work every day. We are not a company that has a lot of employees sheltering in place. We have to show up and continue to produce and provide water for our customers. So making sure we continue to take every step possible to protect our employees and our customers as we deal with COVID and we go into the fall season, which includes going into the flu season. And lastly, and this may become one of the more important items as we move later into the third quarter. We are moving into wildfire season and the real possibility of continued public safety power shut downs. And as we know, the power may go out, but people still need water and so the operations team has done a very good job preparing for wildfire and the PSPS season and we are well ready to handle any challenges that come our way. So Q3 looks to be a very busy quarter for us and we look forward to sharing our results with you as we wrap up the quarter and report our results at the end of October. So, with that, Lisa, we will open it up for questions, please.
Operator: [Operator Instructions] Your first question comes from the line of Durgesh Chopra with Evercore ISI.
Durgesh Chopra: Hey, guys. Good morning and thank you for taking my question.
Martin Kropelnicki: Good morning, Durgesh.
Thomas Smegal: Good morning.
Durgesh Chopra: Look, I -- before I ask I just want to say that I truly appreciate all the work here and all your transparency. Clearly, very, very challenging times for you guys, but you have sort of kept the investment community up to speed on everything that’s been going on, so kudos to you for doing that. Look, I wanted to ask you on the proposed decision, just a quick clarification. If I go back to slide 11, is the proposed decision sort of applicable to the WRAM and MCBA decoupling mechanism, which is the second bullet or is it the WRAM/MCBA decoupling along with the pension and medical costs? I just wanted to sort of just get some clarification on that.
Thomas Smegal: Sure. The proposed policy decision of the Commission, this low income docket is focused only on the WRAM and MCBA mechanisms. And again, as Marty said, the way that the proposed decision is written, it would impact the company in the next rate case cycle. So it would be the 2021 filing, if that proposed decision were adopted without any changes and so it wouldn’t affect either of those things in the interim period. However, you should know that the ratepayer advocate obviously litigated that issue and the WRAM issue with us here in this rate case and they have supplied comments to the Commission in the rule making that suggests why wait, let’s get this over with for Cal Water. And so, it’s certainly something that we need to be wary of. We need to continue to fight against and make sure that the Commission understand that it’s not just flipping a switch to go from being a decoupled water utility to not being decoupled. There is some severe rate design changes that has to take place. What the decoupling did back in 2008, just to remind everyone, is it allowed the company to adopt an incredibly risky rate design. You have seen that in the WRAM balances that we have had over the years. But the rate design is such that more of our costs are being recovered through quantity rates rather than fixed charges and more of those quantity rates are being recovered through the top tier. So it’s an accelerating cost recovery. It focuses our fixed cost recovery on those customers who are using a lot of water. And if you look at the companies who don’t have decoupling, those companies that have the MRAM price adjustment mechanism. You will see that they recover far more of their revenues through fixed costs and they have much flatter rate designs and so it would be premature and really discouraging if the Commission were to take the WRAM out of play for us in the current rate case without changing the rate design. And that’s really the one good thing in the proposed decision -- there is a sea of bad in that proposed decision, but the one good thing is that it recognizes there is a great deal of effort that needs to take place to change the rate design and other factors to get rid of a WRAM mechanism and so we hope that at least that language is persuasive on the Commission in our current case. I hope that helps, Durgesh.
Durgesh Chopra: Understood, Tom. Super helpful. Yes. And then, just on the EPS bridge Tom, slide 12. So am I thinking about this correctly, the -- sort of the impact of the $14.9 million that shows up in the sort of the water production cost bar chart, is that the right way to think about it? So you are not getting essentially recovery for those higher than allowed water production cost, is that the right way to think about it?
Thomas Smegal: Yeah. So, on the bar chart, you see the water production costs. That isn’t going to equal exactly the $14.9 million, because part of that $14.9 million is the lower revenue that wasn’t achieved. So I mentioned that water sales were about where we wanted them to be. I think they are about 96% of adopted. So there is a smaller component of the $14.9 million, which is actually the revenue loss from not having decoupling rather than just the water sales component.
Durgesh Chopra: Understood. That makes sense. Then just, finally, any sort of color that you can share with us, obviously, seems like from your commentary early on that you have met with the Commission a couple of times here in the past two weeks. So what is your expectation going into August 6th, do you think that the Commission actually rules on it or you suspect that this will sort of be addressed in a future proceeding? Just any color that you can share with us would be appreciated.
Martin Kropelnicki: Sure. So I -- so we have divide up the meetings, I did the first couple of meetings, and Tom, is going to do one or two of them this week as well. We are -- we think it’s a fair question to always ask about kind of low income and underserved communities. Having said that, we think it’s a pretty big reach to go from saying, we are going to examine the consistency of low income ratepayer assistance programs to saying get rid of decoupling. So that’s been kind of our message to the Commission. And it varies kind of commissioner by commissioner. I have had one commissioner say, why just no ablation, and I think we should get rid of the increasing block rates and shrink the number of tier. So the problem with that, it’s smacks right into the goal of what they are trying to accomplish, which is kind of equity among underserved communities and low income ratepayers. That increases rates for almost all classes of customers, and frankly, when you do that, you start to reward the high water users and penalize the low water users. So our point has been really simple, at a minimum, put a hold on it, allow for a proper examination of all the data and facts, not just this very narrow limited band of data that we believe the Cal advocates put together and then let’s have a full discussion about it. It’s a really big policy shift. And so, on one hand the State Water Resources Control Board has done all this work on making conservation a way of life. How do you continue to grow the economy, dealing with the growing Ag business, dealing with the growth in population and making conservation a way of life, and now you have a PD coming out saying, we want to undo all that. So there is a break there that’s really important in terms of state policy versus what the CPUC is trying to propose implementing. So we are pointing out those inconsistencies, because we think they are very important. For those of you remember, when we implemented a WRAM, we kind of took it on the chin initially from a Wall Street perspective, because we were giving up our ability to make more money as water sales went up, and we said back then, it was just -- it’s the right policy decision for the state and for the company, because we want to aggressively promote conservation. So we are laying out the arguments. When you talk to the commissioner’s staff, they are pretty tight lipped. The policy advisors are pretty tight lipped. They ask a lot of good questions around our positions and about the data that we are relying on. So we are asking for a minimum of a hold, if not a -- an alternate, basically kind of scrapping the proposed decision. And it’s scheduled to be discussed on the 6th of August and we will have to wait and see what happens. Any commissioner could put a hold on it or a stay. Likewise another Commission could write an alternate.
Durgesh Chopra: Understood. Thank you. And just one last one quickly, and I appreciate you answering all my questions. Will you be issuing sort of a release on August 6th or an 8-K like regardless of where this thing goes, given that it’s a pretty material event for you or not ready to say that at this time?
Martin Kropelnicki: We will keep everyone updated. I think if there is a hold, just a plain hold on August 6th that may not result in an 8-K, but any actual decision or indication of an ultimate proposed decision being published, that’s going to result in an official communication. So, I think, if you don’t see...
Durgesh Chopra: Understood. Thanks so much.
Thomas Smegal: I think if you don’t -- yeah. I think if you don’t see something it means that it was held because you will see something in any other case.
Durgesh Chopra: Okay. Perfect. Thanks guys.
Operator: Your next question comes from the line of Ryan Connors with Boenning & Scattergood.
Ryan Connors: Great. Thanks. Good morning.
Martin Kropelnicki: Good morning, Ryan.
Thomas Smegal: Good morning.
Ryan Connors: So, I want to continue the discussion on decoupling from and maybe play devil’s advocate on your view that this is a -- that this new proposal is bad policy. You mentioned taking it on the chin from the street. I think we probably threw a few of those jabs. And the reason is that we have believed that one of the reasons why ROEs in California are close to the low in the country is that, notwithstanding your comments, Tom, about the riskiness of the rate structure, they have argued that decoupling mechanism reduces the inherent risk in the business and it seems like they have been successful in that and kind of pushing ROEs down. So, I guess, my question is, let’s just imagine for a second that, you don’t get your wish and this thing does move ahead, might there be a silver lining in that it takes away their ability to argue that, at least to the extent they can’t make the opposite argument, they have been making all along and could we actually see some relief on the ROE side in the next few years if that were to happen?
Thomas Smegal: Ryan, those are very good points. I think that the fact pattern though, to keep in mind is remember that, our cost of capital is a group effort that is four companies, three of whom have the WRAM mechanism and the fourth being San Jose Water. And they have -- if you go back to all those proceedings, there’s never been a recognition of any difference in the allowed ROE between the three WRAM companies and San Jose Water with respect to the cost of capital and the riskiness there. And so, I am not sure that we can put a lot of faith in the idea that removing a WRAM mechanism would cause there to be an increase to our ROE. And so, I am hopeful that you are right, but at the same time, I am a little bit doubtful that that might actually take place. And I will just leave that there, we will have to wait and see, and obviously, for those of you who don’t recall, we will be filing for a new cost of capital next March that would be theoretically effective on January 1, 2022, and that’s the standard process with the Commission. Marty, do you have anything to add there?
Martin Kropelnicki: No. I think that’s right. I think, if the decoupling reduce the risk we would certainly be hitting our ROE every year, and certainly, that hasn’t been the case for the last 10 years. I think it helps remove the disincentive to promote water sales, right, and allows because it locks in the margin. But I think, to your point Ryan, if it goes the other way that does become an argument in the cost of capital. And certainly, we would evaluate that with the economists that help us write our testimony and we will look at that qualitatively and quantitatively. But I think it still just goes back -- to me it gets back to simple math and the policy decision for the state is, California is a massive, massive state and there is no, quote-unquote, no new sources of water. You can go to Desal, which is a large carbon footprint and very expensive. And so your lease cost alternative has continue to be conservation and there is 40 years of case study on electric and gas side in California that decoupling works. So I really think it’s a shortsighted decision with a very narrow band from within the commission that’s trying to do this. I think their logic is just bad. But I think, to your point, if you know -- if they reverse it, would we potentially use that argument on cost of capital? Yeah, potentially and it’s probably a fair argument, I don’t know if it will gain any attraction, they are pretty hard to argue with on cost of capital, but we could certainly try.
Ryan Connors: Got it. Okay. Now, I think, you have covered a lot of the big picture or excuse me the tactical issues pretty well. So my last question was just more a big picture, a very big picture in nature. If you look at the COVID situation, on the surface, it seems like regulated utilities have not really been treated that well from a policy and a stimulus standpoint. I mean on the one hand, you are deemed essential and you have got to keep operating which just cost money. But then you are required to give the product away if that’s what your customers are saying they need, even though we have got massive stimulus coming out of the federal government for household in terms of unemployment benefits and stimulus check. So I guess my question is, how do we get there and are there any efforts under way industry-wide to kind of lobby for better treatment as we move forward into these next round of stimulus to say, hey, if we are going to see some of these checks out, can we require, at some level, some kind of audit to make sure that people are taking care of their basics, water, electric, et cetera, before they are doing more discretionary things. It just seems like the utilities are kind of caught in a bad spot here in terms of how this is playing out, any thoughts on that?
Martin Kropelnicki: I will -- let me take it first, Tom, and then you can jump into it Tom. NAWC, I think, as you know, we recruited Rob Powelson. The government affairs team, I think, he has been very busy kind of tracking, monitoring and trying to get input on the bills. I think what’s challenging with any stimulus bill kind of right now and we saw today with the contraction of GDP is, I think, we are talking kind of mere survival points right now for people who haven’t been working. So I think it’s a little harder to kind of push that. We are pretty fortunate, for us, we have the catastrophic COVID memo account that allows us to track incremental costs that we incur as a result of the pandemic and there is a potential for future recoverability of those costs once we collect them all and file for them and they go under review. So what I think is more interesting is, for the customers that we use that direct grant program for, I have received a half a dozen letters this week from people, customers, who I have never met, thanking me for the grant program. And the majority of letters are basically said, thank you, really appreciate the help. I know I fell behind, but I am on a payment plan and I plan on paying the company back. And so I want to give you that credit back and please use it someplace else in the community, who needs it more and what’s been a really -- this has kind of hell way for Tom and I with the quarter, with -- our auditors are here, we got Board meetings. When I got those letters, I actually smile and said, despite all the stuff that’s happening in the world, there are people out there who care and do the right thing. And so I think it’s all to be determined. I think I tried to take a walk on my lunch break. Things are still tightly shut down on the West Coast, restaurants aren’t open, hotels aren’t opened, the economic consequences of this downturn are going to continue to be massive. So I think it’s a little hard as a utility to kind of push that agenda point now federally, while they are looking at aid packages. I am more interested if they do a capital improvement program or a capital spending program and making sure that the water utilities get fair and equitable treatment on any dollars that might be allocated for capital projects and what they are considering right now, Michael and Rob Powelson has been very, very involved with that. Tom anything you would add on that.
Thomas Smegal: No. I think that’s great, Marty.
Ryan Connors: Great. Well, hey, thanks for your time this morning.
Martin Kropelnicki: Thanks, Ryan.
Thomas Smegal: Thanks.
Martin Kropelnicki: Appreciate it.
Operator: Your next question comes from the line of Jonathan Reeder with Wells Fargo.
Thomas Smegal: Good morning, Jonathan
Martin Kropelnicki: Good morning, Jonathan.
Jonathan Reeder: Good morning. Do you think there’s been a need to be some resolution in the low income ratepayer docket PD before you get GRC proposed decision given the WRAM uncertainty?
Thomas Smegal: I don’t know the answer to that, Jonathan. I think that we -- that could be an issue in the GRC. I don’t know that it -- I don’t know that it is or it isn’t. I think the way that the PD and the low income is written, it doesn’t affect our GRC, but I can’t get into the mind of the folks that are working on that -- our current GRC case. That’s certainly a possibility.
Jonathan Reeder: I mean, I guess, from my perspective, it just seems like the -- unless the CPUC removes the WRAM MCBA issue entirely and does then open a separate investigation into the issue, it seem like the GRC proposed decision needs to defer to the outcome in this docket?
Martin Kropelnicki: Yeah. But I think the difference, Jonathan, is the GRC there has been a proposed settlement that’s been on the table since October. And I think from a case law perspective, they are two separate proceedings, whereas ours was supposed to be concluded by 12/31/2019. So I haven’t seen and I was going back in my mind, thinking about all the years I have worked at Cal Water and also at Pacific Gas and Electric. Have I ever seen kind of a retroactive rate making type of ruling coming from the PUC. And I can’t think of one, so I think the merits from a case laws perspective speak to our favor. But as Tom said, it’s really hard, you look at what this PD is called and where it ended up and the fact it was a very, very, very limited data set and you do kind of scratch your head. And so we are trying to free out what the heck is going on with it. So I think, I would say, never say never, but I think the arguments are in our favor and the case law is in our favor. But I would say never say never because you just never know.
Thomas Smegal: Yeah. Let me give you one more thing, Jonathan, two more data points on this. First of all, under state law, the commissioners can’t talk to one another about these cases and remember that our General Rate Case is with Commissioner Randolph. It’s our understanding that she cannot have talked to Commissioner Guzman Aceves about her policy decision. And so whatever delay was involved in our rate case at least up until July 3rd had nothing to do with the policy decision that Guzman Aceves was working on at least as the theoretical legal standpoint goes. And Commissioner Randolph is a good government lawyer, meaning that she is a lawyer who believes in good government. So I don’t believe that that wall has been breached. So whatever delay in our rate case at least up through July 3rd didn’t have anything to do with the policy decision. I will also point out that I know it’s probably not a company that most of you follow. But the Liberty Water Utilities that are in California have a proposed decision and that decision addresses some of these same issues of the WRAM and other balancing accounts. The proposed decision came out I think just on Monday of this week, maybe it was Friday of last week and that does not coordinate with the policy proposal. It says the WRAM is doing great that Park Water and Apple Valley should continue their WRAM mechanisms. They should continue their pension balancing accounts. And so it doesn’t seem like there’s a coordination of efforts there. But, again, we will have to wait and see what eventually comes out.
Jonathan Reeder: Right. I mean, I guess, what I am just trying to think of is, is there any scenario where this proposed decision, the low income ratepayer docket now with different investigation, but then your proposed decision in the rate case still come out and says, no, if you can have the WRAM/MCBA. That doesn’t seem to make sense that it gets pulled away in one docket, while the broader policy discussion is going on still or then conversely, if I guess the PD has adopted in its current form in the low income ratepayer docket, and it says, okay, it’s going to get rid of it and the next rate case, so not in this current one. You would think then by the fact so the next, this current GRC proposed decision should include continuation of it versus, I guess, Public Advocates’ position that get rid of it right away. I mean it -- I see in a different way. This decision being intertwined and I get that one shouldn’t have an influence in the other or under land proposed decision on your General Rate Case, but now are intertwined, it would appear.
Thomas Smegal: Yeah. No. I see what you are saying, Jonathan. I think if the PD and the low income case were adopted as it was originally written. There would be a -- it will be very difficult for the Commission to concurrently come out and say, Cal Water should get rid of their WRAM mechanisms in the case that they filed in 2018. I totally agree with you there and so I guess that’s a potential silver lining. I did point out earlier the comments, obviously from the Ratepayer Advocate that let’s get this over with kind of comments. So that could potentially result in a change to that proposed decision in the policy gate. We are very hopeful that that is not the case, but you are right from that standpoint, I think, they wouldn’t want to have two decisions in conflict with one another.
Jonathan Reeder: Yeah. No. Thanks for mentioning that about the Liberty Utilities. I wasn’t aware of that. That’s interesting too. I guess, with all of this in mind, I mean, how would you handicap the chances that CPUC decides the low income ratepayer docket at this August 6th meeting? Last I saw, I think, it was on the consent agenda for approval?
Thomas Smegal: That’s typically where it starts, Jonathan. So until somebody pulls it off consent or puts a hold out, that’s the typical pattern is it starts out as an agenda decision, then it starts off on consent. It really is dependent upon the commissioners and their offices deciding that the comments that we have made and the effort that we have been making to educate people on this issue are meritorious enough to delay the proposed decision or potentially to write an alternate decision. There has not been a specific response from any commissioner as of now to hold the PD or to offer to change the PD and it may not be typical for them to announce that kind of thing. These are all usually very last minute kinds of items. So unfortunately, I think we are going to be waiting even as meetings continue to go on and not just Cal Water, but the other parties of the case and other interested parties continuing to meet. I don’t think you are going to hear about a hold or a potential alternate until very close to that next -- to next Thursday’s meeting.
Jonathan Reeder: Okay. Really appreciate the additional color and good luck your way through all these complications.
Thomas Smegal: Yeah. Thanks, Jonathan.
Martin Kropelnicki: Thanks, Jonathan.
Operator: Your next question comes from the line of Angie Storozynski with Seaport.
Thomas Smegal: Hi, Angie.
Angie Storozynski: Hi. How are you? I am not actually going to ask any questions about the WRAM, because, I mean, like we -- nobody clearly knows. But my other question is, however, for you, how is the catastrophic memorandum accounts for COVID related expenses and so I just wanted to make sure that that means that when you report earnings, adjusted earnings that those costs are not flowing through the P&L, because you are deferring them to this memorandum account, is that correct?
Thomas Smegal: So actually that’s not correct. So the catastrophic event account is a memorandum account and our accounting policy is that we will recognize regulatory assets and liabilities from balancing accounts. A memorandum account has a reasonableness check and that is at the end of the filing process. So, I mentioned, the $600,000 in the quarter that we book to the memorandum account. That’s in the P&L as expense. And in a future period we would file for recovery from the Commission and be able to -- we would book revenue associated with that once we are approved to do so by the Commission.
Angie Storozynski: Okay. Because you are pretty much the only California utility that I can think of and I cover electric, gas and water, that still flows those expenses through the P&L.
Thomas Smegal: Okay.
Angie Storozynski: I think everybody else assumes that there is an assumption of recovery and as such, those are not expense.
Thomas Smegal: Okay. Well, I will get you in touch with our auditors and we will get them working on that. That’s just been the company’s -- that’s been the company’s revenue recognition policy for some time. So we feel comfortable with that distinction between balancing accounts and memorandum accounts. And our trigger again is, the Commission giving us an order to recover something and then we will go ahead and book that as a reg asset and book it as revenue.
Angie Storozynski: So similarly any types of backup power expenses for PSPS events that also will be flowing through the P&L?
Thomas Smegal: Correct. And that, if you will recall, I believe last year we did have an amount of expense. I don’t have that in front of me. But we have a different memorandum account for PSPS and we do expect to file for recovery on that. It’s in our financial statements from last year. I don’t have that in front of me to give you the number. But that did flow through the P&L and is expected future recovery once we make that filing.
Angie Storozynski: Okay. Thank you.
Thomas Smegal: Thanks.
Operator: And there are no further questions at this time.
Thomas Smegal: Great.
Martin Kropelnicki: Great. Well…
Thomas Smegal: Marty?
Martin Kropelnicki: …everyone thank you. Obviously, there will be a lot happening during the third quarter, as Tom said, as we get through the proposed decision affordability, if there is any major things there we would be doing a filing on that and we are working on the rate case and getting through COVID. So, we will look forward to talking to everyone at the end of Q3. Thank you for your questions today and for being here and we hope everyone is safe and we will talk to you soon. Thanks everybody.
Operator: This concludes today’s conference. You may now disconnect.